Operator: Good morning, ladies and gentlemen. And welcome to Crescent Point Energy First Quarter 2023 Conference Call. This conference call is being recorded today and will be webcast along with the slide deck, which can be found on Crescent Point’s website home page. The webcast may not be recorded or rebroadcast without the express consent of Crescent Point Energy. All amounts discussed today are in Canadian dollars with the exception of West Texas Intermediate or WTI pricing, which is quoted in U.S. dollars. The complete financial statements and management’s discussion and analysis for the period ending March 31, 2023, were announced this morning and are available on the Crescent Point’s SEDAR and EDGAR website. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be question-and-answer session for members of the investment community. [Operator Instructions] During the call, management may make projections or other forward-looking statements regarding future events or future financial performance. Actual performance, events or results may differ materially. Additional information or factors that could affect Crescent Point’s operations or financial results are included in Crescent Point’s most recent annual information form, which may be accessed through the Crescent Point, SEDAR or EDGAR websites or by contacting Crescent Point Energy. Management also calls your attention to the forward-looking information and non-GAAP measures sections of the press release issued earlier today. I will now turn the call over to Craig Bryksa, President and Chief Executive Officer at Crescent Point. Please go ahead, Mr. Bryksa.
Craig Bryksa: Thank you, operator. I’d like to welcome everyone to our first quarter 2023 conference call. With me today are Ken Lamont, our Chief Financial Officer; and Ryan Gritzfeldt, our Chief Operating Officer. As the operator highlighted, this conference call is being webcast along with the slide deck, which can be found on our website. Before we get in to our first quarter update, I’d like to briefly speak to the wildfires that have been impacting communities in Western Canada. Our teams in the field have done an excellent job to keep everyone safe and mobilize our response to coordination with local and provincial authorities, and to offer assistance where possible. Last weekend, we proactively shut in all our Kaybob Duvernay operations as a precautionary measure, with no damage reported to our assets. As the fires around our Fox Creek operations dissipated, we began restoring production and currently have 85% of our Kaybob production now back on line. Given our strong production results to date, and the temporary impact expected from this outage, there is no change to our annual production guidance. I’ll now turn your attention back to our first quarter results. We’ve had a great start to 2023 as a result of both, our strong operational results and the completion of our strategic acquisition of the Alberta Montney assets. Our Montney acquisition is highly accretive to our shareholders, as it enhances the quality of our overall portfolio, extends our inventory of premium locations to 15 years, and increases our profitability metrics and return of capital to our shareholders. It also aligns with our long-term strategy of focusing on high quality scalable resource plays that meet our defined asset criteria. We’re excited about the opportunity to create additional value by applying our operational excellence to these assets who deliver potential reserves growth, given the number of unbooked locations that we have identified, develop a second Montney bench to take advantage of the significant resource in place within these assets, and achieve enhanced efficiencies based on the similarity and proximity of our Montney to our Kaybob Duvernay. When you look at our portfolio, you can see the benefits of our complementary pairing of short cycle assets like our Montney and Kaybob Duvernay plays with our longer cycle assets in Saskatchewan. Our short cycle assets provide significant growth potential and long-term scalability with very quick payback periods, while our long-term cycle -- our long-cycle waterflood and polymer assets provide a consistent stream of low decline production and significant excess cash flow. This optimal portfolio also provides added diversification and the opportunity for knowledge transferred to deliver enhanced efficiencies. Our assets are strategically situated within the oil and liquids rich fairways, which allow us to have one of the highest net backs in North America, and results in significant excess cash flow generation per share. We look forward to sharing our progress in developing these great assets in the quarters ahead. Outside our recent acquisitions, we have completed a number of non-core asset dispositions to optimize our portfolio. We expect to continue to pursue in a disciplined manner opportunities to further improve our portfolio to enhance our long-term profitability. During the first quarter of this year, we delivered strong financial results with significant excess cash flow, of which over 60% was returned to our shareholders through dividends and share repurchases. We have also had a great start to the year operationally and are on track to meet our annual average production guidance with our capital budget remaining unchanged. I’ll now turn it over to Ken to speak to our first quarter results in greater detail. Ken?
Ken Lamont: Thanks Craig. For the quarter ended March 31st, we generated $153 million of excess cash flow with proceeds allocated towards debt reduction and shareholder returns. During the quarter we returned over 60% or $103 million of our excess cash flow directly to shareholders. These returns include our base dividend and the repurchase of more than 5.1 million shares for approximately $48.5 million. Adjusted funds flow for the quarter totaled $525 million or $0.95 per share diluted, driven by strong operating netback of $45 per Boe. Development capital expenditures for the quarter, which includes drilling and development, facilities and seismic, totaled $314 million. We also reported a strong net income for the quarter of $217 million or $0.39 per share diluted. Our net debt as of March 31, 2023, totaled $1.4 billion or 0.6 times adjusted funds flow. Subsequent to the quarter, we successfully closed our acquisition of Spartan Delta’s Alberta Montney assets, which included a net cash payment of $1.7 billion funded through our existing credit facilities. Our net data at closing was $3 billion or 1.3 times adjusted funds flow, which is expected to improve to 1 times at year-end, using $75 WTI. We continue to target a long-term conservative leverage ratio of 1-times net debt to adjusted funds flow at a low commodity price. We have increased our portfolio of commodity hedges to provide additional financial protection. As a result, approximately 30% of our oil and liquids production is currently hedged in the second and third quarter of this year, and approximately 10% in the fourth quarter. Although gas only represents 25% of our overall production, we’ve also hedged over 15% of our volumes in 2023, with a significant portion of our unhedged volumes exposed to pricing outside of AECO including diversification to Henry Hub and the U.S. Midwest. We plan to layer in additional protection in the context of market conditions with a goal of hedging up to 30% of our overall near-term production. I will now turn the call over to Ryan to speak to our operational highlights. Ryan?
Ryan Gritzfeldt: Thanks Ken. For the quarter ended March 31, 2023, our production averaged 139,280 boe per day comprised of 80% oil and liquids. As Craig and Ken mentioned, we closed our acquisition of Spartan Delta’s Alberta Montney assets this week, which adds approximately 38,000 boe per day of production to our company. Our new Montney assets are strategically situated in the volatile oil fairway of the play and provide over 20 years of premium drilling locations with full-cycle returns that rank in the top quartile of our portfolio. Late in the first quarter, Spartan brought on stream a single well in the Gold Creek West area of the Alberta Montney play, which achieved an average 30-day initial production rate of approximately 1,900 boe per day, with production comprised of 90% oil and liquids, as well as currently exceeding both type well expectations in the area and is expected to pay out in less than six months from the initial onstream date at current commodity prices. These results highlight the attractive reservoir characteristics of this asset, including significant pace, thickness and resource in place coupled with favorable permeability and porosity. Looking ahead, we plan to drill 15 wells in the Alberta Montney through the remainder of 2023 and will seek to optimize efficiencies by leveraging our expertise in multi-well pad development. In the Kaybob Duvernay, we are continuing our track record of operational execution, delivering strong full-cycle returns that also rank top quartile within our asset portfolio. We recently brought on stream our seventh fully operated multi-well pad in Kaybob, which generated an average IP30 rate of over 1,000 boe per day per well at over 80% liquids, primarily condensate and is currently exceeding booked type well expectations in the area. We plan to add a second rig in the Kaybob Duvernay in fourth quarter of this year to further accelerate the development of our high-return inventory in the play. In Saskatchewan we continued to advance our decline mitigation programs by converting 25 wells to injectors during the quarter. Our waterflood programs continued to deliver strong overall results, with nearly half of our Saskatchewan production currently underwater and polymer flood with a low decline rate of 5%. We are also advancing the development of our open-hole multilateral wells and Viewfield, which continue to deliver highly economic production results, while also expanding our overall development fairway within the play. We are currently evaluating the opportunity to apply this technology in other areas within our asset base. On the ESG front, we remain steadfast in our commitment to strong environmental, social and governance best practices. Leading into the first quarter we rolled out a targeted safety awareness campaign that proved to be very effective in reducing our serious incident frequency, and total recordable incident frequency. This safety campaign titled refocus, reconnect, recharge, helps reinforce our commitment to safe operations and prioritizes, the health and wellbeing of our employees and contractors above all else. Similarly, our commitment to strong environmental performance continues to position the Company well within our industry. We remain on track with our climate, water and asset retirement goals. And we’ll provide more insight into the progress in our upcoming sustainability report. Before I hand it back to Craig, I’d like to reiterate his remarks regarding the wildfires impacting our Fox Creek, Kaybob Duvernay operations. I’d like to commend the tremendous efforts of our staff, industry partners, firefighters, emergency responders, and local officials and regulators for keeping our communities as safe as possible. It is obviously still a very fluid situation, but we are able to report that the circumstances in our area specifically have allowed us to bring 85% of our production back on line. We will continue to monitor all factors and bring the remainder of the shut in production back on only when it is safe to do so. I’ll now pass it back to Craig for final remarks.
Craig Bryksa: Thanks, Ryan. In closing, I’d like to express how excited we are about the next chapter we are writing in Crescent Point story. Through the hard work and dedication of our team we’ve materially transformed the organization into a highly profitable, shareholder-focused enterprise that is poised to deliver compelling returns in the years ahead. Our portfolio optimization strategy has substantially enhanced the quality of our asset base, improved our cost structure and added significant depth of high return drilling locations to our corporate inventory. We now have 15 years of premium drilling inventory underpinned by our Kaybob Duvernay, Alberta Montney and low decline assets in Saskatchewan. Based on a very strong start to the year, we are on track to meet our annual average production guidance of 160,000 to 166,000 Boe per day. Our capital program also remains unchanged at $1.15 billion to $1.25 billion pro forma the recent Montney acquisition. We’ve recently entered into agreements to secure a significant portion of our drilling and completion services for the balance 2023, which provide us with additional certainty around our capital expenditures guidance. We expect to generate significant excess cash flow in 2023 of approximately $1.1 billion at $75 per barrel WTI pricing and continue to target a return of capital framework where approximately 60% of our excess cash flow is returned to our shareholders Before I sign off, I would like to invite all our shareholders to our annual general meeting taking place next week on May 18th. Please see our website for further details on our AGM. I’d like to thank our shareholders for their continued support and feedback over the years to help drive the overall success of our business. I’ll now open the call for questions from the investment community. Operator, please open the call.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] Your first question comes from Amir Arif from ATB Capital. Please go ahead.
Amir Arif: Just a question in terms of the Duvernay and the Montney. I mean, they’re both great assets. I know you’re adding a second rig into the Duvernay, but that was decided prior to you having acquired the Montney asset, just given the kind of well results you’re seeing there. Could you just talk about the capital allocation between the two in terms of incremental spend or incremental rigs that you -- or drilling that you plan to do?
Craig Bryksa: Yes. So, thanks for the question. I think when you look at the overall portfolio and what we’ve been doing, very happy with how the Duvernay has played out. And as we did move into the Duvernay, remember, we had a one-rig program here for the first couple of years and have really proved the strength of our operations and technical teams on the back end of that, and now looking here in October to bring in that second rig. When you look into the Montney, at some point in time, we will bring in a second rig for the remainder of this year. We do have a one-rig program, which is approximately, call it, 15ish wells. We’ll move in there in a similar fashion that we did with the Duvernay, get in there, do things a little bit different than the previous operator and see if we can enhance the overall returns from that as well. So, in the near term here, I would expect a one-rig program. Maybe over the next 24 to 36 months, look for us to layer in a bit of incremental capital into that area as we go as well. But both assets, extremely strong returns, fit in the top quartile of our portfolio as far as returns. So happy to have both of them within the portfolio.
Amir Arif: I appreciate the color. And then just on the recent well results that you did get at Gold Creek West have been significantly better than the previous pad just to the northwest of that. Does the geology change that significantly between the two points, or is it the completion and the -- or the way you completed the well impacting the rates and the liquids cut?
Craig Bryksa: Yes. So, if you step back a bit, I think when you look at Spartan Delta and their operations team, they did a great job of delineating this asset base. And obviously, they were learning as they went as well. So, in this instance, they landed that well a little bit lower and have made a few tweaks to their completion design. That obviously has us very excited on this well result. So, certainly, as we get into that play, look for us to change things up a little bit slightly. We’ll land those wells a little bit lower, again, like we did in Kaybob, make some overall design changes to the completions and ideally mirror results like you’ve seen here on that last well. But again, the Spartan team has done a great job overall when you look at the delineation that they went through in the asset base. And they’re learning over time as well, too, that we’ll be able to piggyback on from.
Amir Arif: Sounds good. And just one final question. Can you just summarize for us the infrastructure takeaway you have in the Montney in terms of gathering and de-high [ph] and compression?
Craig Bryksa: Yes. So, near term, we’re in a very good position. Ryan is probably the best person to give you a color here as we go.
Ryan Gritzfeldt: Yes. I think I’d say similar to what we’ve kind of portrayed in our long-term five-year plus plan in the Duvernay. The infrastructure is -- for the most part, is in place. All the major gas plants, processing facilities are in place. What we’ll be doing as we continue to drill and step out a little bit is just that your typical trunk lines and gathering infrastructure. But from a percentage of overall capital development spend, the infrastructure will be in line with our Kaybob Duvernay plans.
Operator: Your next question comes from Travis Wood from National Bank Financial.
Travis Wood: I wanted to step into Saskatchewan, specifically Viewfield. I think a couple of quarters ago, you first talked about the multi-laterals and kind of what the potential could look like over the longer term. I think you’ve had some recent success as well with Q1 and some numbers tucked into the back end of the presentation. So, could you talk about what’s driving the success on those multi-laterals and potentially how you’re thinking about it through the rest of this year in terms of activity? And then, to the extent that you can, talk about kind of the geographic locations in terms of where you’re tested and where you plan to kind of test that drilling method through the remainder of the year. Thank you.
Ryan Gritzfeldt: Yes. Hey Travis, thanks for the question. Yes, we do spend a lot of time talking about Montney and Duvernay, which shows our excitement having these assets in our portfolio now. But we do still have very economic drilling programs in Saskatchewan, specifically the Viewfield Bakken open hole multi-laterals. We drilled two more of those in Q1 here, really happy with the results. And we have seven more planned for the rest of this year. And that’s pushing the economic boundaries of the play in a couple of different directions. And I think to your point on what’s making those successful and economic is, essentially for a given section of land, we’re increasing the recoverable reserves with less capital. So, that’s giving us better economics in these portions of the play where we’re pushing the economic boundaries and adding economic drilling inventory to the play. So, super excited to continue that. We are still looking at where do these apply to our other assets, whether that’s Shaunavon, Southwest Saskatchewan or in Flat Lake. At this point in time, we do not have any open hole multi-laterals planned for the other areas, but still continuing to evaluate and as we get more results and understanding the decline of the Viewfield Bakken well. So, I hope that answers your question on that.
Travis Wood: No, it does. Thanks, Ryan. And maybe just one follow-up, and if it’s too granular, we can take it off-line. But just thinking about in the five-year plan, you effectively have Sask being flat. Are these locations and the potential future development of the multi-laterals embedded in that black profile over the five-year plan?
Ryan Gritzfeldt: Yes. Yes, they are. And so, as we keep proving this up, like I say, and pushing the boundaries of the play, right now, we see that this has extended Viewfield Bakken drill inventory by four-plus years. So, that’s all part of keeping our Saskatchewan assets in our five-year plan flat at that 60,000-ish boe per day. And pairing that with our decline mitigation programs probably keeps that 60,000 barrels per day under a 20% decline, which obviously helps generate a significant portion of our corporate free cash flow.
Travis Wood: Okay. Perfect. And then my second and final question will be -- it might be for Ken. But just this quarter, you allocated the variable free cash to the buyback. How are you thinking about the NCIB activity now that it’s effectively fresh through the next 12 months? And how should we think about that versus the variable portion on a sequential basis?
Ken Lamont: Hey, Travis. Yes, thanks for the question. Yes. With respect to the allocation this quarter, obviously, as we’ve said to the market here, our focus is on the share buyback, and that will continue to be the focus going forward. The specials really that we’ve had here in the last couple of quarters were more of just of a cleanup to really just solidify the 50% return of discretionary excess cash under the framework. This quarter was just unique in the sense that we did get that 50% taken care of just vis-à-vis the buyback. And obviously, that’s where our focus is. So, I would expect going forward that, yes, the lion’s share is absolutely going to be on the buyback. And if there’s any cleanup needed, there would be a small special just to respect the framework. So, we’re entering the framework. This quarter, we got it done on the buyback and pleased with that.
Operator: Thank you. Your next question comes from Chris Sakai from Singular Research. Please go ahead.
Chris Sakai: Just wanted to ask about, I guess, the 2023 guidance for total annual average production. It looks like it’s increased from the fourth quarter. And wanted to get where was that increase coming from? Was it from the Montney acquisition? So, I just wanted to get your -- some color there.
Craig Bryksa: Yes. So, thanks for the question. So, when you look at our overall guidance right now, we’re at that 160,000 to 166,000 boe per day. We’re going to spend in the neighborhood of the $1.1 billion to the $1.25 billion to execute against that. At a $75 price environment, which we’re in and around today, that would generate about $1.1 billion of excess cash flow, of which, we’ve talked in the past, 60% is earmarked for return of capital to our shareholders. That change in the guidance is really just on the back end of the Montney acquisition. And keep in mind that that closed May 10th, so we only get roughly 50% of the year on that 38,000 BOE per day. So that’s really the difference on the incremental guidance.
Chris Sakai: Okay, sounds good. And then, any outlook as far as the full year, what would be the full year for Montney?
Craig Bryksa: 38,000 boe per day is what it’s running here in the next 12 months, is how to look at it. And then if you look at -- if you look into 2024, obviously, we don’t have any formal guidance out right now. We are continuously working through that, and we’ll have something out in the fall as you look for our preliminary 2024 budget. But what I would do for now, the simplest thing is to just bolt it on what our five-year program looked like previously. So, you’re going to be somewhere in the neighborhood of caught up, I don’t know, 177,000 boe per day to somewhere around 182,000-ish boe per day, somewhere in that neighborhood of production with a full year guidance in there on the Montney for 2024. And again, very high level, we don’t have any formal guidance out.
Chris Sakai: Right. Okay. And then can you talk about the wildfires? Are they contained, or is this -- could this grow and get worse?
Craig Bryksa: Yes. Ryan, do you want to give some color on...
Ryan Gritzfeldt: Yes. Good question. So, I think this morning, the Alberta government’s count was, I think, 73 active wildfires, with still about 20 out of control. So, stating the obvious, but we need cooperative weather. And there’s still tremendous efforts happening out there with firefighters and local communities, trying to contain the fires and let evacuees get back to their homes. Specifically for our area in Fox Creek, where our Kaybob Duvernay operations are, we’ve been able to bring 85% of our 45,000 boe per day back on line now. The remainder of the shut-in production is currently in a restricted area, and so we will not go back into that area until local authorities allow us to. And then, once we can do that, we can get in there and see if the sites are safe to start up. And only when they’re safe to start up, we’ll bring the rest of our production back on line.
Operator: Your next question comes from Michael Harvey from RBC. Please go ahead.
Michael Harvey: Just one on North Dakota. Not much of an update in [Technical Difficulty]
Craig Bryksa: It sounds like we lost him there, operator?
Operator: Yes. It looks like it. Well, in this case, there are no further questions at this time.
Craig Bryksa: So, I’ll tell you what, Mike. We’ll reach out to you following up on this call. Sorry about that. We’re not sure what happened here on our end, but it looks like we lost you. So, we’ll reach out to you here right away, one of us. For those of you that have any other questions that we didn’t get a chance to get to today, just please reach out to our IR team at your convenience. Thanks, everyone.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Thank you.